Operator: Good morning, my name is Dennis and I will be your conference facilitator. At this time I would like to welcome everyone to the Baker Hughes First Quarter 2009 Earnings Conference Call. (Operator Instructions). I will now turn the conference over to Mr. Gary Flaharty, Director of Investor Relations. Sir you may proceed.
Gary Flaharty: Thank you Dennis and good morning everyone, welcome you to the Baker Hughes first quarter 2009 earnings conference call. Here with me this morning are Peter Ragauss, Baker Hughes’ Senior Vice President and Chief Financial Officer, Martin S. Craighead, Senior Vice President and Chief Operation Officer, and Chad Deaton, Baker Hughes’ Chief Executive Officer, President, and Chairman. Following management’s comments this morning we will open the lines for your questions. Reconciliation of operating profits and any non-GAAP measures to GAAP results for historic periods can be found on our website at www.BakerHughes.com in the Investor Relations section under financial information. I also want to caution you that any Company outlooks discussed this morning are subject to various risk factors. We will try to highlight these risk factors as we make these forward looking statements. However, the format of the call does prevent a more thorough discussion of the risk factors. For a full discussion, please refer to our annual report 10-K, 10-Q, and in particular the forward looking disclosure in this morning’s news release. With that, I will conclude our discussion of the administrative details and turn the call over to Peter Ragauss.
Peter Ragauss: Thanks Gary and good morning. Today we reported net income on a US GAAP basis of $195 million or $ $0.63 per share. This compares to $1.27 per share a year ago and $1.41 per share for Q4 2008. Q1 revenue was $2.67 billion flat with the first quarter of 2008 and down $518 million or 16% last quarter. North American revenue was $1.1 billion in the first quarter down 8% compared to the first quarter of 2008 and down 23% compared to Q4. Total North American revenue of $1.6 billion was up 6% year on year but down 11% sequentially. Our oil field operating margin in Q1 was 14%. This compares to 23% in the year ago quarter and 22% in Q4. Severance cost in the first quarter was $54 million. In addition we increased our allowance for doubtful accounts to $29 million. Excluding the impact of these 2 charges which are unique to the quarter our Q1 oil field operating margin would have been 17%. Overall our performance in the first quarter was consistent with the severity of the drop in drilling activity in North America. It is hard to believe today that the US recount still averaged 1,344 rigs in Q1. US recount declined at 682 rigs from 1721 at the beginning of the quarter to 1039 rigs at quarter end. A drop of nearly 40% and it stands at 955 as of last Friday. The decline in recount was more rapid and more severe than we saw in the last four down cycles. Turning to the performance of our two segments; drilling and evaluation revenue was $1.3 billion in Q1 down 6% compared to the year ago quarter and down 17% sequentially. The drilling and evaluation segments operating margin was 12% in Q1 down from 25% in the year ago quarter and down from 21% in the prior quarter. Adjusting for severance and the increase in allowance for doubtful accounts, the operating margin in any segment was 15%. Revenue for our completion of production segment was 1.4 billion up 7% from the year ago quarter but down 15% sequentially margins in our completion of production segments held up better in Q than our drilling and evaluation product lines that are highly correlated with the recount. C&P operating margin in Q1 was 17% down from 21% in the first quarter of 2008 down from 23 % in the prior quarter. Adjusting for severance and the increase in allowance for doubtful accounts, the operating margin for our C&P segments was 19%. To help you evaluate our earnings per share in the first quarter I will review you through the significant items that bridged the sequential and year ago quarters to the first quarter EPS and $0.63. In Q4 2008 our US GAAP net income per share was $1.41. From this $1.41 add $0.08 for the impairment of auction rate securities in Q4 2008. Subtract $0.08 for the impact of higher share count auction rate and higher tax rate compared to Q4, subtract $0.04 as a result of higher corporate expense and subtract $0.01 for higher net interest expense both compared to Q4. Subtract $0.12 for severance and $0.04 increasing our allowance for doubtful accounts. Subtract $0.36 for decreased profits in North America and subtract $0.21 for decreased profits outside of North America, primarily related to the seasonal decline in large export orders from Q4 to Q1 and the impact of the unfavorable changes in exchange rate. This gets to the $0.63 we are reporting for the first quarter. Now bridging from the year ago quarter, from our US GAAP net income per share of $1.27 we reported in the first quarter of 2008, subtract $0.06 for the gain on sale of the product line in Q1 2008. Subtract $0.06 to account for the impact of higher interest expense. Subtract $0.12 for severance and subtract $0.06 for increasing our allowance for doubtful account. Subtract $0.33 for decrease in profits in North America and subtract $0.01 for decreased profits outside of North America. This gets us to the $0.63 we are recording for the first quarter. Now, turning to the balance sheet, total debt decreased $520 million in the quarter to $1.8 billion. During the quarter, we repaid $525 million in maturities from proceeds of the $1.5 billion of a long-term debt we issued in October of last year. We have no maturities on long-term debt until November 2013. At quarter end, our long-term debt to cap ratio was 20% and our net debt was $634 million. We currently have $1 billion in un-drawn committed credit facilities comprised of $500 million facility which is accessible through 2012 and $500 on 364 day facility which was successfully rolled over in March and is accessible through March 2010. At the end of the first quarter, we also had cash in short-term investments of $1.2 billion. This totals $2.2 billion in available liquidity. Moving on to guidance, 2009 capital expenditures are expected to remain in the range of $1.1 billion to $1.2 billion and our CapEx budgets reflects continued investment in the infrastructure particularly in the international markets as well as some capital for new rental tools and incremental capacity for a completion on production segment product lines. Our tax rate for 2009 is expected to be between 31% or 32% and finally, we still anticipate being cash flow positive in 2009. I will now turn the call over to Martin who will highlight our geographic results, Martin.
Martin Craighead: Thanks, Peter. I will begin with North America which had a very challenging quarter particularly in the latter half given the decline in land rig activity. Peter spoke to the declines in the U.S. rig count. Canada did not fair any better. In Q1, the Canadian rig count averaged 329 rigs (the lowest since 1995). Overall, in Q1, the total North American rig count was down 27% year on year. The majority of the reductions occurred on land. We expect further declines in North American Land Activity in Q2. The offshore rig count was down only 2% compared to the year ago quarter. Going forward, we expect weakness in the shelf to be offset by strengthening deep water activity as we expect six additional deep water rigs will be in the gulf by yearend. United States revenues were down 5% year on year compared to a rig count that was down 24%. Our results highlight the differential performance of our completion in production segment which was up 13% year on year compared to our drilling and evaluation segment which was down 23% in line with the rig count. Compared to the prior quarter, United States revenues decreased 24%. Canadian revenue was down 19% year on year compared to a 36% decrease in rig activity and decreased 16% sequentially compared to a 19% decline on rig count. A weaker Canadian dollar was also a contributing factor for the revenue decline. Self-reductions and activity and lower pricing in the quarter had a detrimental impact on profitability. Early in the quarter, we took steps to address market conditions through closure and/or consolidation of over a dozen facilities as well as a reduction in our workforce. Related severance charges were $34 million. The reduction in employee base is expected to deliver annual savings of $175 million in North America and we expect to hit that run rate in the third and fourth quarters. We will take other actions to appropriately size our North American operations to the market as it becomes necessary. As the full benefit of these actions could not be realized in the quarter, our North American operating profit margin declines to 12% in Q1. This compares to 27% in the first quarter of 2008 and 23% in the prior quarter. Adjusting for severance and the increase in allowance for doubtful accounts, the operating margin was 16% in Q1. North America remains an area of substantial strength for Baker Hughes. We have a very competitive suite of technologies which positions us well for continue of activity in the unconventional GAAP’s place and in the deep water Gulf of Mexico. Furthermore, these technologies and our overall capabilities have afforded us a very strong market position and while we will work to defend price, it will not be at the expense of share. Turning to our Latin America region, the story in Latin America in Q1 was substantially one of strong and increasing activities in Brazil and Mexico. Elsewhere in the region, many operators reduced operating budgets and activity levels as lower commodity prices negatively impacting cash flow. We see this trend continuing throughout 2009. Latin American revenues in Q1 were up 23% year on year against the rig account that was substantially flat compared to the first quarter of 2008. The largest revenue increases occurred in Brazil, Mexico, Colombia, and Ecuador. Year on year, revenue growth in Brazil was driven by our directional drilling and fluid’s product lines and revenue growth in Mexico was lead by our completions product line. In Colombia, year over year growth was lead by the directional drilling and artificial lift product lines. Latin American revenue was down 15% compared to the prior quarter. The sequential decline reflects unexpected seasonal reduction in export orders. Sequential revenue decreases were greatest in Colombia, Venezuela, and Argentina where low oil prices have continued to depress activity levels. The operating profit margin in Latin America for the first quarter was 9% down from 19% in Q1 2008 and down from 21% in the prior quarter. Adjusting for severance and the increase in allowance for doubtful accounts, the operating margin was 15% in Q1. I would like to bring to your attention a few operational highlights. At the end of March, we were drilling on two rigs on the Alma Marine Project in Mexico. The contract we have highlighted to you in previous calls. We did not recognize any revenue associated with this project in the first quarter as project milestones were achieved days after quarter end and the revenues will be recognized in Q2. However, we did have staffing and mobilization cost in Q1. The project will be a positive contributor to our Mexico operations beginning in the second quarter and we expect to be operating on four rigs by the end of the second quarter. Before leaving Latin America, I am very happy to report that in addition to our sizable position with Petrogas in Brazil. In Q1, we were awarded a four-year, $170 million contract from a major international oil company furthering our ability to build economies of scale and scope in one of the world’s leading services market. This contract award includes directional drilling, logging well drilling, upper completions and artificial lift systems. Turning to the Middle East Asia Pacific Region, Middle East revenues increased year over year with higher activity in the Emirates, Egypt, Oman, offset by lower revenues from Saudi Arabia and Qatar. The sequential decline was principally due to lower activity in Saudi Arabia consistent with Saudi Aramco’s plans to reduce overall activity. While Saudi Aramco is reducing activity, they remain committed to using leading technologies to access difficult to develop reservoirs. Our Mag Track Nuclear Magnetic Resonance LWD tool continues to deliver strong performance as part of our directional drilling suite. The 4-entry quarter inch Mag Track tool remains the only tool of its size capable of collecting the valuable NMR data while drilling their giants beneath a reservoir enabling Aramco to properly identify the oil/tar contact. Our notable successes with Aramco extended the global sides and its sides as well where our sides’ explorer services demonstrated our ability to deploy 100 levels well bore receiver string to provide a high resolution down hall seismic data. With this technology, our customers can now efficiently shoot high volume shock patterns which are spirals and multiple walkway lines with a volume and resolution required to make critical field development decisions. In Asia Pacific, year on year revenue increases were led by Indonesia, Brunei, and India. Sequentially, Asia Pacific revenue decreased with the largest decreases coming from Indonesia and Australia. Customers in the region continue to leverage technology as well to lower overall operating cost. During the quarter, we were awarded a three-year contract for the intelligent well system in Malaysia and in China we were awarded the completions contract from an NOC operating in the Bohai Bay. During the quarter, we completed the mobilization of six offshore wireline skid units and two trucks in support of a recent contract award with ONGC. Logging operation started in early January and since that time, we have provided a full range of open hole and case hole service. The operating profit margin was 14% in Q1 2009 compared to 20% in Q1 2008 and 23% in Q4 2008. Adjusting for severance and the increase in allowance for doubtful accounts, the operating margin was 15% in Q1. We continue to see the Middle East Asia Pacific Region as an area of great opportunity for Baker Hughes and as just highlighted we are making progress penetrating key markets. Nevertheless, I am disappointed with the pace in revenue and margin growth. In the next few weeks, we will announce additions to our management team that will help us address these markets. Turning to Europe, Africa, Russia, and the Caspian, revenue for the region was up 2% year on year but down 8% sequentially. In addition to significant activity declines in some areas, results were impacted by unfavorable foreign exchange movement particularly in the United Kingdom, Norway, and Russia. In Q1, European activity was impacted by lower oil prices and credit availability challenges which have been particularly is due to independent operators in the United Kingdom sector of the North Sea. Revenue in Europe declined year on year and sequentially strong year on year growth and directional drilling in the Norwegian sector of the North Sea was more than offset by weaker sales in the United Kingdom. In Russia and the Caspian, declines in activity were significant. Low oil prices, weakness of the ruble and unfavorable tax structure as well liquidity issues and a lack of financing alternatives continued to be an issue for many operators. Revenue for Russia and the Caspian decreased year on year contributing to the decline of the lower sales and the completion of special chemicals product lines in Russia and lower wireline activity and completion sales in the Caspian. Revenue decrease sequentially on lower activity in the directional drilling, completions, drill bit and artificial product lines. In Africa, revenue was up year over year lead by directional drilling, completions and artificial lift activity in Libya and by completions activity in Nigeria. Revenue declines sequentially as activity of independent operators was impacted by funding issues and expiration program slowed. Looking forward, we see steady expansion in Libya in the North African market and we are continuing our focus on deep water opportunities in West Africa. During the quarter, we were awarded a contract for a significant portion of deep water services for an IOC in Nigeria. Products and services to be provided include directional drilling, logging while drilling, wireline services, and completion. Operating profit in the region was essentially unchanged – 19% Q1 2009 compared to 20% in Q1 2008 and 20% in Q4 2008. Adjusting for severance and the increase in allowance for doubtful accounts, the operating margin was 22% in Q1. Overall, Q1 was an outstanding for that region. I will now turn the call over to Chad.
Chadwick Deaton: Okay. Thanks, Martin. Looking at the North American Market, we are clearly in one of the most challenging markets that we have faced in a very long time. The rig count in the United States continues to fall and as of last week, we were down 53% from the September peak and given the magnitude of the decline in the United States gas rig count it does appear, we were actually seeing in the beginning of possibly a production response. However, there are several factors that may inhibit a return to the 1,600 plus or minus gas directed rig count that we enjoyed in the United States only a few months ago. First, application of advance technologies in shale gas place has led to significant increases in production. As a result, the industry may be able to sustain gas production with far less rigs. Second, global LNG liquefaction capacity is expected to increase around $29 billion cubic feet per day in 2008 to around $37 billion cubic feet per day by 2010. With decline in demand in the Pacific Basin and minimal storage capacity in the international market, LNG shipments to the United States are probably going to increase and with a weakened global economy, we believe there is ample gas supply to keep North American activities suppressed for several quarters. The timing and level of any recovered depends on several factors including weather, economic activity and related demand, the impact of any new taxes on energy demand and energy companies and the timing and degree of the supply response, we expect to see and reduced joint activity. In Canada, the breakup started about two weeks ago and we believe the second quarter breakup will be quite severe. Last week, the Canadian rig count stood at 65 rigs, 23 rigs below last year’s lowest rig count. Canadian operators are facing the same challenge as the United States operators. As such, we expect activities to remain weak after the breakup. Our North American revenue performance over the last several quarters has led our peer group. Clearly, North America is the key area for us and we continue to believe that long term, this market will return to a more stable business. Perhaps, fewer rigs, the more technical and complex products and services will be utilized by those rigs as our clients view more conflicts horizontal and even multi-lateral wells. As witnessed in other parts of the world, we see increase revenue for rig as operators require higher end products and services in order to draw more technically challenging horizontal wells. In the mean time, we have taken steps to right size on North American operations. We have reduced headcount and have closed in our consolidated several facilities. We had assigned personnel to international operations were possible. We expect further deterioration and activity in price but over the next several quarters, the service industry will adjust to market condition. Operating cost will be reduced and profitability levels will improved as cost reduction aspects are realized, efforts are realized. The full benefit of our cost reductions will not be realized until the second half of the year, we also expect pricing pressure will continue on lower volumes in North America. We expect activity to average 950 rigs in quarter 2. If our forecast is correct, the sequential drop in activity from quarter 1 to quarter 2 will exceed the drop in activity we saw from quarter 4 to quarter1. Therefore, we believe that the consensus estimates for our second quarter are likely too high. Looking internationally, it is clear that $50 oil is not sufficient to support some of the projects with marginal economics today. The outlook for the world economy in oil demand remains uncertain. If we see oil prices recover to the $70 range, we will see many projects move ahead. If oil continues to trade near the $50 range, we will continue to see a slow decline in the international activity. Activity in United Kingdom continues to be weak, offset by Norway. In Saudi Arabia, rig counts are declining in response to lower oil prices. Activity in Russia and the Caspian has declined significantly but we believe that they are maybe reaching a bottom. We see West Africa and North Africa as areas of strength and Latin America provides the most opportunity in the near term as Brazil and Mexico move forward with large development projects. We have made significant investments in the international markets over the last several quarters and have been successful in winning several large contracts. We also have successfully implemented numerous process and procedures to make sure that we operate within the guidelines of the FCPA and other government regulations. This past Sunday, marked the expiration of our deferred prosecution agreement. The expiration of this agreement is a testament to the success that we have had and established in the world-class compliance organization. Now, this does not signal a change in how we will conduct our business around the world. We will continue to operate in a transparent and compliant fashion to everything we do but it does represent a significant industry leading achievement. During these last two quarters, we took decisive actions on several fronts that we feel will enable us to come out of this down turn as a much stronger company. We have implemented headcount reductions that will deliver over $250 million in annual saving. We have taken actions to achieve efficiency in our shared services organization. They are expected to contribute annual savings and additional $50 million in 2010. We have closed in consolidated facilities and continue to evaluate options for further consolidation. We strengthened our balance sheet providing the flexibility to take advantage of opportunities during this down turn as they arise. We recruited and placed key executives in several important functions including a Vice-President of Supply Chain to drive the efficiencies through the organization which are expected to resolve additional cost reduction opportunities of over $300 million. We hired the Chief Information Officer to manage the efficient implementation of IT throughout the organization and the Vice-President reliability test was building out our quality management initiatives and reducing our client’s non-predicted time and we are moving forward with our geographical organization which will enhance our ability to quickly and efficiently respond to our customers delivering technical solutions, and value for multiple product line. Through all of this, we will maintain our investment in technology and development and our focus on execution. We had significant deep water contract wins in the quarter in the Gulf of Mexico, Brazil, and West Africa and we are having success in penetrating eastern hemisphere markets that we have targeted as demonstrated by a recent mobilization in six wireline units into the Indian market. We remain confident at the lower levels of investment accelerating decline rates and an economic rebound will drive our customers and to make the significant investments required to meet the world’s energy needs. This will, in turn, drive demand for products, technologies and services. Gary, let us open it up for some questions.
Gary Flaharty: All right. Thank you, Chad. At this point, I’ll ask Dennis to open the lines for your questions. To give everyone a fair chance to ask a question we ask that you limit yourself to a single question and a related follow up question. Dennis, could we have the first question please.
Operator: (Operator Instructions) Your first question comes from James Crandell – Barclays Capital
James Crandell – Barclays Capital: Martin, could you address the performance of this NMR sensor in Melissa’s field. What is it about as it makes it better than the others? I know you displaced your competitor there and does it have, are the benefits such that this could be true in other regions as well?
Martin Craighead: Well, Jim, yes, let me clarify, when we say we displaced the competitor, there is no other offering (that is to my knowledge). No other competitive offering so it is hard to displace somebody. We are running in the bottom assembly of our competitor. They are still doing the drilling but it certainly is a significant piece of information for Aramco. It is very unusual to have somebody else’s instrument in a bottom hole assembly. The issues there (as you are probably aware) is really viscosity identification as the oil stick above a tar mat. If they penetrate the tar mat, then basically they lose the well. The benefit of the Mag Track for Baker Hughes is first, it is the only one that is about 3.25 in size which is what they need to drill the standard reach. Secondly, it has a very good vibration medication characteristic which is important obviously in a drilling environment. So, we get very good with (what is called) T2 measurements and we get very good resolution on being able to determine the viscosity of the oil. It is a big technical success for us. We are proud of it. Second part of your question, we are running it in Brazil, both in the Santos Basin as well as in the Sub Salt on those carbons down there so it has been a big success for us.
James Crandell – Barclays Capital: Martin, what was the rough size of the Nigerian contract that you won?
Martin Craighead: I am sorry, I missed that.
James Crandell – Barclays Capital: What was the size roughly of the Nigerian contract that you won?
Martin Craighead: That was $500 million.
James Crandell – Barclays Capital: Over what time period, Chad?
Chadwick Deaton: It is over a 4-year period.
James Crandell – Barclays Capital: Okay, and my, this related follow up is, Chad would you expect to be a competitor on the Iraqi contracts that may start here before year-end?
Chadwick Deaton: We will be a competitor. Jim, we have been selling product in Iraq for the last couple of 3 years and what we see again is selling in 2009 percentage-wise, it gets you very excited. Absolute dollar-wise is not big yet, but the area that we have been quite active in Iraq for the last couple of years has been on the reservoir evaluation side working with the Iraq international oil companies to identify these field which also gives them some size and understanding as a reservoir size of this field. So, yes we have opened our office there. We have had our teams in there quite actively for the last 6 to 8 months and we are participating in terms of tenders and looking at projects.
Operator: Your next questions come from Bill Herbert - Simmons & Company International
Bill Herbert - Simmons & Company International: Chad, if you could add just, Chad and Martin, add a little bit more texture if you will with regard to the sequential margin performance in your non-North American regions, Europe, Africa, Russia very strong and looks to be up quarter on quarter ,Middle East, Asia Pacific, and Latin America even adjusting for the severance and non-cash charges in the quarter quite a bit lower quarter on quarter. Why were the margins so much lower in Latin America and the Middle East? And why were they or they so strong in the Europe-Africa-Russia Region?
Chadwick Deaton: You hit it right on the head and I think Martin said it. EARC, Europe/Africa had a very, very strong quarter. The reasons for that is Norway strength offset what we saw is some weakness in the UK in terms of activity although the guys did a pretty good job getting cost in line the first quarter in the UK in trying to offset some of that margin hit there. Africa was very strong force and North Africa, Libya, Algeria. In fact, they had some of the better quarters. I think Nigeria had its best quarter in quite some time.
Martin Craighead: Latin America I think we can explain a lot of it from the Mexico start up and Brazil start up cost on drilling fluids. We are still moving through those and as Martin said we did not recognize revenue in Mexico on the two rigs we are on and we did not reach the milestones effort, case in point but we did have the cost associated beyond those two rigs, So think you will see Latin America bounce back on the margin side and be more representatives or what is going on in the market.
Chadwick Deaton: Martin hit it on the head there. We were not happy with what the response we are getting out of MEAP and so we are making some changes there and we did think that it is a near of great importance for us I think I said on the last call or the call before that as a Company we have not focused on Asia Pacific and MEAP as much as the other 3 regions and historically. So again we think that this has got great opportunity and you also saw Saudi which is a real driver for us in the MEAP region being down in line with the activity down on rigs. So, that also weakened us in MEAP a little bit the quarter.
Bill Herbert - Simmons & Company International: Okay so broadly speaking, I think you answered the question with regards to Latin America but broadly speaking in the non-North American realm as the year unfolds and assuming that drilling activity overall does not do a whole lot up or down and then you continue to witness sort of inevitable pricing pressure from IOCs what do you think is a reasonable outlook for margins as it unfolds in the non west American arena for 2009?
Martin Craighead: I think Latin America will improve towards the end of the year as we get our cost we talked about that one I think EARC is going to be under some additional pricing pressure so I think we probably had our strongest quarter in EARC in the first quarter. I think west Africa will hold this on but Europe itself will be under a little more pressure and I think Russia towards the end of the year could get a little better than what we saw in the first quarter and will see on the second quarter. As I said in my comments, the Russia area seems to be [baddening] and it could get a little bit better by the end of the year. Now MEAP we think still going to be some struggling in Q2 and Q3 on some pricing issues and other things.
Operator: Our next question comes from the line of Dan Pickering with the Tudor Pickering & Co. Sec.
Dan Pickering - Tudor Pickering & Co. Sec: Chad, you talked a little bit about the second quarter estimates it is being too high. I appreciate the caller, obviously we are going to push for some specificity. I would assume that 3% or 4% too high is not a meaningful number and you would not talk about it so we got to think about this is 10% or more type of kind of too high estimates out there is that a fair way to think about how you are guiding?
Chadwick Deaton: Well, let me put it this way, last quarter I think consensus estimates for about $0.99 . We made the statements that consensus is too high and it came down to $0.75, $0.76. This time we said based on what we see and rig count dropping consensus is likely too high. So from that you have got to run your numbers.
Dan Pickering - Tudor Pickering & Co. Sec: Okay. All right, we’ll [grind] a way on that and then generally as you look at North America and the profitability there, did we see any meaningful price impact hitting in the first quarter, will that be more significant as we moved through the year? Did we see the full brunt of the price impacts in the first quarter? It is basically the same question that Bill asked on the international side but just take it to North America and where do you think we bottom margins there?
Chadwick Deaton: I think North America started to see some price. January still wasn’t a bad month but by the time we hit March it was clearly, as rig count goes down so was the pricing. There were a lot of discussion and renegotiations in the first quarter that will now probably be hitting us full in the second quarter. So I think the real pricing pressure is hitting starting from March, April, and May and will be with us through Q2, Q3. We don’t really see rate count bottoming until end of Q2, Q3 most likely and it was still as I said in the call it is going to be down percentage wise more on Q1 to Q2 than it was from Q4 to Q1 price. So I think pricing is going to continue to spiral down to match that.
Dan Pickering - Tudor Pickering & Co. Sec: So do you think margins can hold double digits Chad or is that kind of did not still go over on your buggy?
Chadwick Deaton: It could be a challenge in North America to do that.
Operator: Your next question comes from the line of Kurt Hallead with RBC Capital Markets.
Kurt Hallead – RBC Capital Markets: Hey, just along those lines Chad as might as well continue that questioning this time on the international front. So your peers have pretty said something along the lines of 300, 500 basis point increments in North America. As we move into the second quarter and the stabilization from that point forward. And then, the peer group has also suggested something along the line for the couple of the 300 basis point [decrement] on the international markets. Is there something in your product mix or some in your recent contract awards that would put you in a better position that your peers or do you think it is too much going on that you are not going to be able to dodge it?
Chadwick Deaton: I think we are more in the area of what our peers I guess were saying, I don’t think internationally is going to be as bad as domestically just simply because of the recount, new client, Kurt but most of these international projects are a lot larger there than what they used to be. They tend to be [blub] bundle services, bigger packages Martin talked about the Brazil win, we talked about the West Africa win, those were several product lines in there but our clients have been out talking to all of us, trying to get pricing down and everybody is negotiating this packages rather than just having them retendered. So I don’t disagree with what their numbers are saying.
Kurt Hallead – RBC Capital Markets: I know historically during this periods of time your service company is definitely making effort to sell the value proposition clearly that’s getting much more, more difficult. Can you just give us some sense on what kind of value add you are providing to your customers and then whether or not you’re able to kind of mitigate the pricing pressure?
Chadwick Deaton: Well, let’s take the example, Kurt, off shore, deep water that’s under a lot less pricing pressure. There is just a handful of competitors on those rigs. They are long-term contracts. Much of that work is already been awarded even the new rigs coming out, we know what we won on that. That’s not going to come under a lot of pricing pressure, just simply because the clients with the kind of spread cost even if they can’t get rig cost rates down they still have significant exposure there to not predict the time and failure. Land, internationally, that’s where the pressure tends to be higher in terms of discounting, off shore again, deep water which is a significant part of our international market. So that part should hold up a little better than when you just get in to the land type operation in Russia etcetera clearly we are seeing a lot of pricing pressure in those particular areas.
Kurt Hallead – RBC Capital Markets: Okay, and then just one other house keeping item if I may, in the press release you guys reference specifically margin impact in North America, and in Latin America as related to severance and then the allowance for doubtful account and then Martin’s commentary, he referenced the severance and doubtful accounts in the number of different regions. Can you guys give us that mix or is that better of off line?
Peter Ragauss : This is Peter. We have taken, unfortunately we had to take severance charges in all regions around the globe. We have also increased our allowance for doubtful accounts in all regions around the globe. We have given you the margins, the adjusted margins for clarity. Why don’t I just repeat the adjusted margins to make sure you get it. So oil field 17%, D&E 15%, C&P 19%, North America 16%, Latin America 15%, EARC 22%, MEAP 15%, then total ROW of 19%. So you can take those percentages multiply the times the revenues etcetera and figure out the adjustments. What we were not prepared to do is talk about specific provisions and specific countries with specific customers.
Operator: Your next question comes from Robin Shoemaker - Citi Group.
Robin Shoemaker – Citi Group: It struck me that your severance charge in total was on the high side just compared to, what some of your other larger competitors reported and I’m just wondering if you decided to be a little more out in front on this issue. We heard some other companies indicated that there was another big round of belt tightening coming in the current quarter. What is likely to happen in terms of your further work force reductions going forward and what possible explanation is there for the fairly large size of the charge you took in the first quarter?
Chadwick Deaton: Yes I think your right Robin. We tended to want to get this out of the way in the first quarter. If we have additional cuts going forward it is going to depend on what activity happens. We were trying to look at what we think is going to happen over the next couple of quarters and respond to that now. I think one of our competitors took a frigate cut in Q4, took some charges. I think some of our other competitor are probably doing a little in Q1 will do more in Q2. But we have identified and notified the people in all of the four regions and we are just moving forward going ahead. Some of those people are obviously in Europe and some other areas remain on the payroll in Q2 so we will have a little bit of overlap on that. That’s why in Martins comments we said we wouldn’t see the benefit of these cut really until Q3 and Q4 but I think we will be a little more pro active especially in North America to get the cost in line, because as we said we think this is going to last quite a few quarters.
Robin Shoemaker – Citi Group: Ok understood. My follow up is related to the IPM bundled services issue. Where we see you winning some projects and also in the high-tech arena but what about some of the large IPM bundled services projects that are a little more low tech, well construction type of projects, but fairly sizeable. We saw you have been, I think in the first quarter on a couple of those projects in Mexico. What is your view on the IPM arena and where you fit in with that?
Chadwick Deaton: What we do like high-end high-tech bundled type projects more than just necessarily chasing rigs and above a drilling contractor type model, but if look at Mexico for example we have won a project for offshore which tends to be more of a high-tech approach to things but we have also gone after some land operation. We are right now the leading contender on the most recent Chicontepec project. It’s a little smaller than the previous ones but when the beds were opened we were the winners so they are going thru the qualification process now. Where the market dictates it, we will participate. We are not necessarily going to be the leader to buy rigs and get out there and try to lead in that area, but Mexico is clearly a market were it is happening, Russia, we are managing four in Russia where we have project. Algeria we have an ITM type project in Algeria on a 6 rigs. So where the market is leaning in that direction, we will participate.
Robin Shoemaker - Citi Group: Ok. And if you do get conformation of the award on Chicontepec, when would that project likely begin?
Chadwick Deaton: I believe it is the third quarter, end of the third quarter.
Operator: Your next question comes from a line of Goeff Kieburtz –Weeden & Company
Goeff Kieburtz –Weeden & Company: Let me just take upon the Chicontepec comment, I have not honestly looked at that details of the bidding but in winning that contract, did you have to go back and re-think the way you bid prior to Chicontepec work?
Chadwick Deaton: Yes. I think what helped us in getting some of the bidding on this contract the way did was because of our exposure now on the offshore market down there and we built up some mask.
Goeff Kiebutrtz –Weeden & Company: Ok. So it is really changed circumstances allowed you to approach in a different manner?
Chadwick Deaton: Yes. I would say that is a fair comment.
Goeff Kiebutrtz –Weeden & Company: And do you see that then being, Chicontepec, a project that will expand your exposure to over the next couple of years?
Chadwick Deaton: Yes Geoff there are several more of this ATG projects I think there is another five or six or seven to be tendered in the next coupled of years and with PAMEX going to grow some fifteen thousand wells in the area, it is going to be an active market. So again that’s been able to get in on the offshore and some of the little higher end, high technical side of the business. We feel that we got some of our cost covered and we can do a little more aggressive going after the Chicontepec or ATG projects.
Goeff Kiebutrtz –Weeden & Company: And what would you expect that to do to your Latin American margins over that time period?
Chadwick Deaton:  I think initially when you first start it may have a little effect for a quarter or two but as we seen in other competitors as you become more efficient, you should be able to bring your margins back.
Goeff Kiebutrtz –Weeden & Company: Great! If I could just ask a housekeeping question? I know what Peter said about giving us the adjusted margins but would you mind giving us the combined doubtful account and severance charges for D&E and C&P in dollar terms?
Chadwick Deaton:  Yes we can do that. Probably, Gary will calculate those numbers and get them to you.
Operator: Your next question comes from a line of Micheal LaMotte with J.P Morgan
Micheal LaMotte - J.P. Morgan: Chad if I could follow up on your comment about recount recovery in the U.S And in particular the focus within the shales on more of the technical service, I have to ask a question, does it alter your thinking or willingness or appetite to act as a consolidator in the North American market at all?
Chadwick Deaton: Are you talking about our type of services?
Micheal LaMotte - J.P. Morgan: Well your type of services or even an extension of plug and play types of businesses that you are on in now?
Chadwick Deaton:  It does not make much sense for us to be a consolidator of our type of services and I think especially when I start looking at the shale place and things because its hard to match technology or systems that you have by trying to acquire somebody else. I think there will be consolidations and without a doubt. I just think that we are in a cycle where we see so much in the past where a lot of capacities have been added and needs to be taken out. We will be opportunistic if something comes up that we think its fit. Our product lines or fills the gap for us. Evaluations are clearly going to be coming down then will take a look at that. But for the most part, our acquisitions and things we were looking for will tend to be more in a technical end, the reservoir end, gaps that we may have but not necessarily just to be a consolidator.
Micheal LaMotte - J.P. Morgan: Ok. That is helpful color thank you. And then if I could follow up just for a product or service lines stand point on Centrilift in general we would think of more production oriented business with tend to hold up in a lower rig count environment. But historically Russian, Valenzuela has been big market for ESP. Can you just talk about that business and what the expectation are for this year and how is it handling the cyclical downturn?
Chadwick Deaton:  Centrilift is typically half cycles on this for the past years and this is not different usually has a weaker Q1 than they do in Q4, a lot of that is due to sales of equipment. We do two things in Centrilift , we lease ESPs and we sell ESPs depending on client preference. So usually Q1 we see Central lift gets a little weaker in the export sale. Centrilift if you go around and look at the areas, Russia is weaker right now for that very reason and the activity has been down. But Centrilift along with Baker Petrolite those margins have held up and we think will hold up much better through the next several quarters than our D&E side of the business. I do not know if that answers your question.
Micheal LaMotte - J.P. Morgan: If I can ask quickly on the lease/sale mix perhaps that is helping permute the volatility relative to periods in the past. We had downturns in spending. Is that a big factor in smoothing up the revenue stream?
Chadwick Deaton: That smoothes up the revenue stream, the leasing side obviously smoothes out the revenue stream.
Operator: Your next question comes from the line of Stephen Gengaro – Jefferies & Company
Stephen Gengaro – Jefferies & Company: You mentioned the strength of you balance sheet and I know from Michael’s questions around acquisitions but are there holes as you look at some of these, more commoditized ITM jobs around the world that you might want to fill as far as your product portfolio allowing you to bid aggressively?
Chadwick Deaton: No, we were able to find the rigs so it does not mean we necessarily have to have a rig contractor. We were able to find sea manning or pressure pumping alliances that we can work with. I do not think that is stopping us from bidding on these projects or winning these projects, Steven. It is not that we were held up because we do not have particular product. Some of our competitors that are winning some of these projects as well have gaps and we have a service that they do not. It does not stop them from winning them. In fact on some of these projects we sell quite a bit of services and products to our competitors are managing these projects.
Stephen Gengaro – Jefferies & Company: Okay that is helpful and then as another way to follow up, back to the North American margin question, when you look at your cost cutting and headcount reduction, what plan would you guess that the cost cutting helps margins flatter. Do you need rig count to move higher to get margins flat and then go up or do you think the cost cutting initiatives will stabilize margins at some point late this year.
Chadwick Deaton: You do not see margins stabilize as you get coughed out of the system and we hit the low end margins in Q2 and Q3 in North America by then the cost cutting will come in and you will see some stabilizations of margins maybe even a little improvement but it will take an increase in rig count or a consolidation phase to get some capacity up before you see margins do anything meaningful.
Operator: Your next question comes from the line of Marshall Adkins – Raymond James
Marshall Adkins – Raymond James: Let us come back to the completion and production side. Obviously that business held up much better as usual. Should we expect a delayed reaction here to lower rig count? Are we going to see meaningful margin deterioration and meaningful fall off in that business over the next few quarters or do you think it will just hold up?
Chadwick Deaton: I think you could see some weakness in margins on the C&P side of the business but I do not think it is not going to be as meaningful as what you obviously see in the D&E side of the business.
Marshall Adkins – Raymond James: Right, just a couple of more clean up items here. Interest expense was up big and depreciation was down, can you give us some guidance going forward on both those issues?
Chadwick Deaton: Depreciation, I think is going to be pretty flat from here. Interest expense, we issued the bonds in October so interest expense will be pretty flat from here also. We paid off some short term debt in January, February in the first quarter which was not very high rates and so I think it is pretty flat from here. Any depreciation was probably down a little bit and it is probably tied back to the bit side of the business because we do capitalize the bits that are leased and with the activity decreased, we have less capitalization and depreciation coming out of these cushions, that might have lowered a little bit in the quarter.
Gary Flaharty: Dennis at this point can we just take one final question please.
Operator: Your next question comes from the line of Michael Urban – Deutsche Bank Securities
Michael Urban – Deutsche Bank Securities: Most of the questions have been answered, I wanted just like to follow-up of on the international side in a broader sense and it is hard to generalize. Some of your competitors have a view the international side, as it often happens, simply on the lag. You the nature of the contracts and projects and things like that seem stable or maybe drifting down subject to a bigger drop later on. I just want to get you opinion on that.
Chadwick Deaton: I agree with that I think the international side historically is always lagged in the US and North America action. We continue to see international be on a slow drift as long as the oil price stays on that $50 range I think there is still plenty of projects out there that the clients will continue to move forward on at $50 but some of the bigger ultra deep water Arctic, other type projects could be delayed. Now if we see some economic recovery towards the end of the year or early next year and oil starts moving back up $60 $70 $75 a barrel then I think that will probably signal the end of the international slow down and we will be in the much better book but I think this is a 12/18 type cycle that we have entered into
Michael Urban – Deutsche Bank Securities: With respect to the oil price it is something we hear pretty often in common that we have $50 oil end projects don’t make sense but how much of a moving target is that with respect to the cost if you have $50 oil and 2008 cost something doesn’t work but we are hearing project costs on some cases coming down 30% or more be it rigs, tubular or things like that. Does that change the equitation and therefore it is more of stability and sustain instability question at 50 or is that still in absolute terms too low even with the lower cost?
Chadwick Deaton: I think it is still too low. I do not think your cost are going to come down. For our type of services like rigs and some other things may come down to that effect but I think that $50 oil will still have a tightening or squeezing effect on quite a few projects around the world. I think there is not going to be able to get the cost out fast enough to make up for these projects. These projects if we just look back over the last several years are much more complicated. They require a lot more technology to be able to drill these wells. I just don’t think you will be able to get the cost down low enough to $50 oil on the service side to be able to justify that.
Gary Flaharty: Alright thanks Mike and thank you Chad, Martin and Peter. I want to thank everyone today, all of our participants this morning for your time and your thoughtful questions. Following the conclusion of today’s call both Gene and I will be available to answer any additional calls you may have or questions you may have. So once again thank you for your participation Dennis?
Operator: Thank you for participating in today’s Baker Hughes Incorporated conference call. This call will be available for replay beginning 10:15 am Eastern, 9:30 am Central and will be available through 10 pm Eastern time on a Wednesday May 13, 2009. The conference ID number for the replay is 93158395. The number to dial for the replay is 800-642-1687 in the US or 706-645-9291 international. You may now disconnect.